Operator: Good morning. Welcome to Cohen & Steers Fourth Quarter and 2007 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. (Operator Instructions) I would now like to turn the call over to Mr. Salvatore Rappa, Senior Vice President and Associate General Counsel.
Salvatore Rappa: Thank you. Welcome to the Cohen & Steers fourth quarter and 2007 earnings conference call. Joining me is our Co-Chairman and Co-Chief Executive Officer Marty Cohen; our President, Joe Harvey; and our Chief Financial Officer, Matt Stadler. Before I turn the call over to Marty, I’d like to make the following remarks. Yesterday we issued a press release announcing our fourth quarter and 2007 quarter results. The press release, which is available on our website at cohenandsteers.com, contains information that we believe is useful in helping you evaluate our performance during the quarter and year-to-date. I want to point out that during the course of this conference call, we may make a number of forward-looking statements. These forward-looking statements are subject to various risks and uncertainties and there are important factors that could cause actual outcomes to differ materially from those indicated in these statements. We believe that some of these factors are described in the risk factors section of our 2006 Form 10-K, which is also available on our website. I want to remind you that the company assumes no duty to update any forward-looking statements. Also, the presentation we make today will contain pro forma or non-GAAP financial measures, which we believe are meaningful in evaluating the company’s performance. For detailed disclosures on pro forma metrics and their GAAP reconciliations, you should refer to the financial data contained within the press release we issued yesterday. Finally, this presentation may contain information with respect to investment performance of certain of our funds. I want to remind you that past performance is not a guarantee of future performance. This communication shall not constitute an offer to sell or the solicitation of any offer to buy these securities. For more complete information about the funds we will discuss today, including charges, expenses, and risks, please call 800-330-7348 for a prospectus and see the press release we issued yesterday. With that, I’ll turn the call over to Marty.
Martin Cohen: Thank you, Sal, and good morning. Let me mention at the outset that Bob Steers is not with us this morning. He’s actually visiting clients in Australia. So rather than have him be on the phone in the middle of the night, Joe and Matt and I and the others will be handling the call today. This morning, we’d like to skip the listing of our accomplishments for the past quarter and year and focus instead on the state of our industry and our company. Let me just review a few numbers at the outset. First, we reported fourth quarter earnings per share of $0.44 versus $0.40 a year ago, a 10% increase. Revenue for the fourth quarter was $66.9 million compared with $57.6 million a year ago, a 16% increase. We ended the year with $29.8 billion in assets under management, which was virtually the same as a year ago. And here’s where it gets interesting, because some of the underlying trends really were quite unusual. In 2007, we enjoyed gross inflows at a record level of $12.3 billion. To put that in context, that’s about 40% of our beginning assets. So we had a great gross inflow year. We had a record net inflows of $5.1 billion, which was a very good organic growth rate. But we suffered $5.5 billion in depreciation, which essentially erased all of our net inflows. This was the result of a bear market in REITs which began early in the year. Just for review, REITs have been on a seven year run of outstanding performance, culminating in about a 50% return from the beginning of 2006 to February of 2007. A lot of that run-up was fueled by takeovers in the industry, in the new asset REITs, where there was $167 billion worth of transactions that either merged or took private much of the U.S. REIT industry. So we had been in an unprecedented period of takeover activity and, as well, strong fundamentals in the real estate industry. After February, the congestion in the financing market and the expectations of a slowing economy took their toll on REIT prices. Essentially, the financing problems took away the bid for taking over companies. And REITs began to drop along with the financial markets and the financial companies. They dropped in August; they staged a very big recovery into October; but then they reversed once again in the fourth quarter alone, U.S. REITs declined by 13%. European real estate companies dropped 13% as well. And even Asia, which had previously been very strong, declined 7%. So as a result, our assets under management dropped from $34.7 billion at the end of the third quarter to $29.8 billion at year-end. I should mention that the year-end asset numbers are after $650 million worth of capital gain distributions that we made. Those distributions were the result of all of the takeover activity which required us to payout those capital gains, since most of those gains were realized earlier in the year. The outflows in the fourth quarter were only about $700 million, which we thought was pretty modest given the turbulence in the market and the bear market that we were in the middle of for REITs. Also, by year-end our sense was that many investors redeemed open-end funds to book tax losses, keeping in mind that the rest of the financial markets in general were up for the year. And also, because we were paying out those large capital gains, we think a lot of investors waited to purchase shares in order to avoid getting hit with the large tax with this capital gain distribution. So, the net outflows in the fourth quarter we thought were relatively modest. And what that indicates to us is that, as far as global REITs are concerned, which is clearly the core of our business, it’s an asset class that’s attracted many dedicated investors and has become a lot more sticky then at anytime in the past. Despite the market turbulence that we’ve had over the past 12 months, we haven’t lost any significant institutional accounts. In fact, we added 13 net new accounts in 2007. Right now, we continue to see a very high level of institutional interest. Just yesterday, I made a finals presentation and we hope to continue to win some very important mandates here. And importantly, and I think this is of interest, that a lot of the search activity that we are seeing, and in fact a lot of the inquiries we are getting on the retail side, are the result of the decline in prices that have made REITs much more attractively valued and are starting to attract value investors. Interestingly, and we’ve just fast-forward to the last couple of days, despite a rocky start, this year we’ve had very modest net outflows and global REITs have already staged a remarkable recovery. The U.S. is now up about 0.5% and the U.K. as an example, which is a very large real estate market, is up 7% as of last night. Yesterday, an extraordinary day, was by far the single biggest one-day gain ever for U.S. REITs. In the large cap value area, which as you are all aware is an important initiative for us, we also have encouraging news. We had about $430 million of net inflows in 2007 and we had great performance. Our open end fund was a top performer. We will be completing our third full year as a CNS open end fund, and we will start to collect Morningstar stars later this year and we expect to be very highly rated given the incredible performance of this fund and our other accounts in this strategy. In the meantime, that strategy is now available at all of our distribution channels; load, no load, registered investment advisers, broker dealers, retailers, institutional. We are seeing daily inflows into this strategy and we are a candidate now also for a very good number of meaningful separate accounts. As you can understand, this is a very scalable sector of the market, and it is our company objective to exploit this to the fullest. Naturally, we are not ignoring our other strong performing groups in utilities and preferred stocks. In the utilities sector, we have just expanded our universe to include global infrastructure companies and this is an area where we see some very substantial investment opportunities and a similar great deal of interest on the part of investors. Which brings us to our 2008 business plans. First, I don’t want to call the bottom of the REIT market, because that’s always a treacherous thing to do. But over history, and we’ve been doing it longer than anyone else out there, the declines that we’ve experienced over the past year have been very infrequent and have always been followed by a multiyear period of positive returns. So, we’re not writing off our core capabilities; and in fact, we’re very encouraged by the search activity, the valuations and the interest in that sector, and we continue to build our global team there. Second, we’re not going to let market headwinds deter us from executing our business plan, that business plan being the pursuit of asset diversification, which already has had terrific results and has served us well. Third, we ended the year with $231 million in cash and cash equivalents and no debt. We view our cash as a source of stability and the means with which to pursue opportunities that the current market turbulence may precipitate. And finally we are, as always, being prudent about controlling our expenses. Fortunately, we’ve built out our infrastructure over the past several years to a point where we now need few, if any, new hires. If we do expand our headcount in 2008, it will strictly be to expand our investment capabilities. With that, I’d like to turn it over to Matt Stadler, our CFO, who will elaborate on the numbers and quantify some of the concepts that I have just discussed.
Matthew S. Stadler: Thanks, Marty. Good morning, everyone. Yesterday, we reported earnings of $0.44 per share compared with $0.40 per share in the prior year and $0.37 per share sequentially. The sequential quarter included an approximate $0.09 per share after-tax expense associated with a structuring fee paid in connection with the offering of a closed-end mutual fund. We reported revenue for the quarter of $66.9 million compared with $57.6 million in the prior year and $69.5 million sequentially. Net income for the quarter was $18.7 million compared with $16.6 million in the prior year and $15.9 million sequentially. The third quarter of 2007 included the structuring fee. For the year, we reported net income of $75.5 million or $1.77 per share, compared with net income of $3.2 million or $0.08 per share in 2006. Net income for 2007 included the structuring fee of approximately $0.09 per share. Net income for 2006 included $1.25 per share after-tax expense associated with the prepayment of certain of our closed-end fund trailers and a $0.02 per share after-tax gain from the sale of property and equipment. After adjusting for these items, 2007 EPS totaled $1.85 a share, and 2006 EPS totaled $1.31 a share. As a result of extremely challenging market conditions, our assets under management decreased to $29.8 billion. Market depreciation, net outflows in open-end funds and institutional separate accounts, and capital gain distributions from certain of our open-end and closed-end mutual funds, all contributed to the decline. For the year, we recorded record gross and net inflows and had an overall organic growth rate of 18%. So clearly, it was a year impacted by two distinctly different market environments. We continue to broaden our product offerings with U.S. REIT common stocks now comprising only 43% of total assets, down from 59% last year. International securities comprise 30% of total assets, up from 19% a year ago and our client base continued to become more diverse. Non-U.S. investors now account for 20% of the assets we manage, up from 9% last year. Turning to our two business segments, in our Asset Management business we recorded quarterly revenue of $63.1 million, up 21% from the prior year, but down 2% sequentially. The sequential decline was attributable to lower average assets during the quarter. Pre-tax income for the quarter was $29.3 million, up 28% from last year, and up 24% sequentially. After adjusting for the $5.8 million structuring fee in the third quarter of 2007, pre-tax income was down 1% sequentially. For the year, pre-tax income was $109.5 million, compared with a pre-tax loss of $3.4 million in 2006. Pre-tax income for 2007 included the structuring fee. Pre-tax income for 2006 included the $75.7 million prepayment of the trailers and the $1.1 million gain on the sale of property and equipment. After adjusting for these items, 2007 pre-tax income was $115.3 million and 2006 pre-tax income was $71.2 million. Asset Management’s pre-tax margin was 48% for the quarter and 44% for the year. Excluding the structuring fee, Asset Management’s pre-tax margin was 46% for the year. In computing our pre-tax margin, we add back amortization of intangible assets, which are primarily attributable to non-compete agreements. Now let’s review the changes in assets under management. Assets under management in our closed-end mutual funds totaled $10.3 billion at December 31, a decrease of $1.1 billion or 10% from the third quarter. The decrease in assets under management was the result of market depreciation, which included $437 million of capital gain distributions. For the year, assets under management in our closed-end funds decreased $1.1 billion or 10%, as the launch of Cohen & Steers Global Income Builder and the issuance of preferred shares in three funds were more than offset by market depreciation. Our open-end funds had assets under management of $8.9 billion at December 31, a decrease of $1.9 billion or 18% from the third quarter. The decrease in assets under management was attributable to market depreciation of $1.5 billion combined with net outflows of $451 million. Market depreciation included $213 million of non-reinvested capital gain distributions. Gross subscriptions for the quarter totaled $919 million. For the year, assets under management decreased $675 million or 7%. Gross subscriptions were a record $5.8 billion and our organic growth rate for the open-end funds in 2007 was 12%. We recorded net inflows of $2.2 billion into Global and International Realty Funds and had net outflows of $1.1 billion from domestic Realty Funds. Assets under management in our institutional separate accounts totaled $10.6 billion at December 31, a decrease of $1.9 billion or 15% from the third quarter. The decrease was comprised of market depreciation of $1.6 billion combined with net outflows of $348 million. A good portion of the outflows occurred in advance of capital gain distributions from a non-Cohen & Steers fund that we sub-advise. For the year, assets under management increased $1.7 billion or 19%. Gross and net inflows were both records at $5.7 billion and $3.5 billion, respectively. We recorded net inflows of $3.9 billion into Global and International Realty portfolios, and had net outflows of $835 million from domestic Realty portfolios. Our large cap value portfolios recorded net inflows of $346 million. We added 13 net new separate accounts during the year, and our organic growth rate for separate accounts in 2007 was 40%. In our Investment Banking segment, we recorded quarterly revenue of $3.8 million, down from $5.6 million in the prior year and down from $4.8 million we recorded in the third quarter of 2007. For the year, the Banking segment recorded record revenue of $27.3 million, up 46% compared with 2006. Our Investment Banking revenue remains very unpredictable. The Banking segment recorded a record $12.3 million pre-tax profit for 2007 compared with $7.4 million for 2006. Fees generated during the year were primarily attributable to capital raising and merger advisory assignments. Moving to expenses, on a sequential basis, excluding the closed-end fund structuring fee in the third quarter, expenses were down about 6% in the fourth quarter. Lower employee compensation and distribution in service fee expense were partially offset by higher G&A. We mentioned on our last call that our compensation to revenue ratio for the fourth quarter would remain at about 29%. It was actually lower, coming in at 26.4%. The decrease was the result of truing up our year-end incentive bonus pools to actual. For the year, our compensation to revenue ratio was 28.4%. Generally, distribution and service fee expense will vary based upon the asset levels in our open-end mutual funds. Excluding the structuring fee in the third quarter, the sequential variance is in line with the decrease in average assets. G&A is up almost 14% sequentially. This increase is primarily due to higher recruiting fees, including open searches for a couple of new strategic hires, increased travel attributable to our global expansion, and higher professional fees related to the implementation of certain industry-wide European regulatory initiatives. We do not expect these recruiting fees or professional fees to reoccur in 2008. Now turning to the balance sheet, stockholders equity reached $282 million up from $241 million last year and our cash, cash equivalents and marketable investments totaled $231 million up from $179 million last year. Now let me briefly discuss a few items to consider the 2008. Consistent with our 2008 business plan, a larger amount of assets are projected to be managed outside the U.S. in jurisdictions with lower effective tax rates. Therefore, we expect that our 2008 effective tax rate will be between 37% and 38%, slightly lower than the 38% we recognized in 2007. In addition, we will derive the cash benefit of approximately $30 million resulting from a tax benefit we will receive on the current fair value of restricted stock units that will be delivered during 2008, the biggest component coming from the final tranche of vested restricted stock units that were granted at the time of our Initial Public Offering. This tax benefit will not affect our GAAP tax rate, but will enhance our cash flow throughout the year. With respect to compensation, we currently expect our compensation to revenue ratio to be between 32% and 33% for 2008. The estimated increase in the ratio is a direct result of the current market conditions we are experiencing. While, we remain cautiously optimistic about our business, we recognize that a prolonged market decline will impact our 2008 revenues. At the end of January, the intangible assets attributable to non-compete agreements established when we went public, will become fully amortized. This will reduce our depreciation and amortization expense by $4.1 million in 2008, representing 11/12 of the full year expense of $4.4 million. And finally, during 2008 fee waivers will expire on four of our closed-end funds. Based on December 31 asset values, this will generate approximately $2.2 million of incremental revenue in 2008. Now, I will turn it back to Marty to wrap up.
Martin Cohen: Thanks, Matt. Maybe we’ll just go right to the questions.
Operator: The first question comes from Douglas Sipkin - Wachovia.
Douglas Sipkin - Wachovia: Just two questions, one and I apologize if you gave it already. I know you provided the large cap value flows for the year. Did you provide the large cap value assets?
Martin Cohen: We did not mention that, but I think we can tell you that.
Douglas Sipkin - Wachovia: And then secondly on top of that, do you know more specifically when Morningstar is going to officially rate the fund?
Martin Cohen: We don’t know when they will. We know that it requires a three-year track record in house to consider that. I think that’s August 1.
Matthew S. Stadler: August of ‘08.
Douglas Sipkin - Wachovia: That’s helpful. And then on the separate account business, I know that’s a bit of counter cyclical business, when REITs are out of favor typically that sees inflows. So, I was a little surprised it wasn’t a little bit better this quarter. I am just wondering, is there anything specific to that? Or it’s just one-offs here or there?
Matthew S. Stadler: I don’t think there is a major trend, yet. I will say that we have – and this is something we haven’t seen for some time – seen some existing clients, based on the decline in REIT prices and their asset allocation strategies, begin to increase their allocations. We’ve seen that from several European clients. We’ve seen it from one U.S. client and then several global clients.
Martin Cohen: The answer to the first question is $1.1 billion in large cap value.
Douglas Sipkin - Wachovia: Is that a combination of fund and separate account?
Martin Cohen: Yes. The importance of that $1.1 billion is, I’d like to reiterate, we’ve mentioned this in the past, having critical mass now enables us to compete more effectively for large mandates. So we’ve reached a turning point here, which we are very, very, very optimistic about.
Douglas Sipkin - Wachovia: Okay, great. And then just an update. I know you don’t expect much out of the closed-end fund market in the near-term, but I get the sense that some of the discounts are starting to improve a little bit. Any color on that market? Are we still a long ways off before we could think about that? And I am just saying that given the recent acceleration in interest rate policy.
Martin Cohen: A lot of the discounts have narrowed. And my understanding is that the calendar is extremely light, because the market’s just not ready for a new closed-end fund offerings. Now, if we continue on a positive trend, and there are income strategies, of which we have a couple in the pipeline, that are in demand, then certainly maybe by sometime in the second quarter we could start seeing some activity there. But right now, we’re just assuming that the window is closed until then.
Matthew S. Stadler: If I might add, just an interesting trend in the closed-end fund market is for the leveraged funds, the cost of leverage is coming down considerably. And that is starting to create more opportunities to generate positive spreads to enhance the income that a closed-end fund can deliver. But as, Marty said, we’re assuming that there will be no activity there for some time.
Operator: Our next question comes from Mike Carrier - UBS.
Mike Carrier - UBS: Actually, a two-part question for both Marty and Matt. The REITs have corrected, and Marty, you gave the overview of where your outlook is. And obviously, the rates are helping boost this sector. But given the weaker economic backdrop, is that still an ongoing concern? Not for just the sector, but just maybe for the near term in terms of your guidance build-out? Then for Matt, in that environment, on the expense side, what portions or what areas can you control in the near term, yet not take away from the long-term build-out of the franchise?
Martin Cohen: Mike, our single biggest concern as always is the state of the economy. Because you can’t have strong real estate markets if there’s a weak economy. Offsetting that are two things. One is that the commercial real estate market, particularly the REITs that we invest in – and that’s globally – are extremely well capitalized, most with long-term leases. So even if there was a slowdown and even a minor recession – and we found this also in the 2001 to 2003 period, earnings continued to grow. So we’re not as concerned. But clearly there could be a deceleration of growth in the offing. But the second thing and more importantly is that REITs were down close to 40% from top to bottom. There has never been a decline like that. Clearly, the market was discounting, I think, a combination of the seizing up of the financial markets and the debt market, but also taking into account the possible economic slowdown. And we had valuations relative to net asset value, relative to the cash flows that are at pretty depressed levels. Typically REITs and financials are early cycle leaders. And this is our experience over many cycles, where, it’s amazing, when the economy is going into a recession and what happens, financials and REITs rally. And there is a reason for that. We go down first, we tend to come out first. And I can’t tell you that that’s going to happen, but if history repeats itself, there’s a strong possibility that that’s what we’ll see. And that’s what we might be seeing developing over the past few weeks.
Matthew S. Stadler: I think with respect to your expense questions there’s really two line items, G&A and headcount, employee compensation. G&A, there’s some items on the line item that are not controllable. But clearly, the controllable expenses are items that we’re looking at continuously and looking to make sure that they come in relative to the revenue generation. On the headcount front, I mentioned that there’s a couple of searches going on. And Marty had mentioned that although our infrastructure is pretty much in place and it’s scalable – we had a 25% increase in headcount year-over-year – we don’t expect that’s going to be the case in 2008. And if so the hires that we do in 2008 will be more to complement or provide for us to continue to expand our platform. But it’s not going to be to bolster admin and support areas and other areas where we already feel that we’re adequately staffed and scalable in those areas. So that’s where we’re looking to control our expenses.
Operator: Our next question comes from Cynthia Mayer - Merrill Lynch.
Cynthia Mayer - Merrill Lynch: Maybe you went over this and I missed it. But the outflows in separate accounts, would you just attribute that to – I don’t know what. You can’t attribute it to rebalancing when REITs are down so much. Why wouldn’t you see rebalancing in the other direction?
Matthew S. Stadler: Rebound meaning that if there’s a depreciation and people are going to look to get back up to their allocation level. We would expect that as the year unfolds we’ll have more inflows. But what we experienced in the fourth quarter, at least on the separate accounts side, we said that there were some outflows in advance of capital gains for one of our sub-advised accounts. And then, there was just outflows basically in U.S. domestic but we didn’t really see any outflows in our international and global. In fact, if you look at the institutional business in each quarter of ‘07, we had net inflows in our global and international portfolios. So I think that’s actually an opportunity for ‘08, that if the markets have in fact bottomed and certain valuations are there, we would expect to see the U.S. market come back and inflows as the institutions top off and get back to their allocation percentages.
Martin Cohen: Cynthia, some of the outflows, I think much of that is we include subadvisory relationships in our institutional (projector?), and in those subadvisory relationships, whether it’s capital gains or just investor defection, we have had some outflows there. But as far as the separate accounts that are pension funds, endowment funds, and the like, they were in I think net inflow all year long.
Matthew S. Stadler: The whole segment.
Martin Cohen: So despite that retail feel within a couple of those accounts, we still had net inflows in institutional in every quarter.
Cynthia Mayer - Merrill Lynch: Okay. And I remember in past years you’ve said that you think there has been a secular shift toward just including REITs more freely as part of an asset allocation. Does the sell-off change that for institutions?
Joseph Harvey: Not at all, and I think that’s a pretty remarkable development for the REIT market generally; 10 years ago, we would be answering questions about the validity of REITs as a real estate asset class allocation. And as Marty mentioned earlier, we continue to see a lot of interest, particularly in global and international strategies. And we’re just not hearing those types of questions; that is, are REITs real estate? In fact, we’ve also seen a similar development in terms of the flow activity with the type of market decline that we’ve had, 10 years ago we would have had much larger outflows. So I think it really is a testament to the development of the asset class. So today the conversations with institutions are revolving around, is the decline over? What’s going on fundamentally? And is now a good time to initiate an allocation?
Cynthia Mayer - Merrill Lynch: Okay. Great. And one other question is, in the first few weeks of this year, how close have the market movements of international and U.S. REITs been? How much of a diversifier they have been?
Joseph Harvey: They are just like last year. They have been very different. And this is through last night, but the U.S. was up about 0.2%, clearly a lot of volatility there. Europe overall was down about 4% and Asia was down about 14%. Last year, Europe and U.S. looked a lot alike and had a much higher correlation. And Asia was the star, it was up 15%. So we are starting to see a rotation away from Asia somewhat, as its economy begins to slow in accordance with the global slowdown. And yet, because of the value in U.S. and Europe and with the monetary stimulus, we’re beginning to see rotation back into those markets.
Operator: (Operator Instructions) Our next question comes from Marc Irizarry - Goldman Sachs.
Marc Irizarry - Goldman Sachs: The first question is just in terms of your open-end mutual funds. I think over half of your subscriptions to the open-end mutual funds came at the top of the cycle if you will for REITs, or before the bear market set it. How do you allay concerns? Or would you expect with the continued headwind before we see a deceleration in the outflows in the open-end side of things?
Martin Cohen: I think we’ve already seen a deceleration. And we were debating whether to get into more detail with respect to January and December and we’ve chosen not to because there is a lot of noise. The capital gain distribution, the year-end tax loss selling, and then we had other investors that sold in December and are buying back in January. So there is a lot of noise there. But in general as we look month-to-month, we’ve seen a deceleration in the outflows. Now it’s not a deceleration from 60 miles per hour to 10, but it’s certainly a deceleration. That would stabilize I would imagine, and we don’t know, but to the extent that they do stabilize, we should probably see an abatement of outflows. And then again if history repeats itself, as they stabilize and maybe start performing a little better relative to the other assets, you start seeing inflows again. Whether that’s two months or six months, I don’t know, but that’s the typical pattern.
Marc Irizarry - Goldman Sachs: And what if anything can be done in terms of the channel and helping hold hands, if you will, on the open-end mutual fund side of the equation? What efforts, if any, are underway on your end to do that?
Martin Cohen: We’re doing a conference call today at 4 o’clock for financial advisers, and as an update. And I think the last one we had was with 500 people who were on the call. We expect even more today given the state of the markets. We do that regularly. Call here if you want to listen in. Scott Crowe, our global strategist and I will be conducting that call. Our wholesalers and our internals, who total about 25 individuals today, are on the phone constantly with the retail channel. We have a team of client service people in the RIA channel. They are out every day. And we have, on the institutional side, probably at a rate even higher than our growth in assets has been our client service team that are also in touch with our existing clients every day. They have been extremely effective with respect to transitioning a lot of our existing clients from U.S.-only to global. I think that’s another reason why the U.S.-only accounts have declined as a percentage of our assets. And a lot of that’s been very effective client service. And then finally, we have a very strong consultant relation effort. As you know, in the institutional world, it’s very consultant-driven, and we are with them every day as well. So, I don’t think there’s anything more we can do. We all know that in times of headwinds, that’s the most important job we have is to maintain our focus and our client service, and that’s exactly what we’ve been doing for most of the past year.
Marc Irizarry - Goldman Sachs: Understood. And then just in terms of the scope of the business, outside of REITs and global REITs, do you think at all about any strategic initiatives, be it acquisition or some more aggressive rollout of non-REIT product to accelerate your movement away from or dependence on REITs?
Martin Cohen: Our latest strategic initiative has been to add hedging capabilities, and we’ve got a very strong team there. We mentioned in the past we are in the process of developing a long/short capability, which is very much desired in the institutional world. And with respect to other non-REIT initiatives, we don’t know what this year is going to bring. And we love having the strong balance sheet. We are in touch with all the investment bankers and all the people who traffic in opportunities. We will look at anything that fits within the core of our capabilities and our assets, our focus on that income orientation in the equity world.
Joseph Harvey: In terms of our existing non-REIT capabilities, we’re very excited for our large cap value team, with its track record of performance, which is just spectacular and with the critical mass and assets that we now have, we think some of our best opportunities are already here and we can generate growth internally.
Operator: There are no further questions at this time. I would like to turn the floor back to management for any closing remarks.
Martin Cohen: Thank you all for listening and we look forward to our next call, and we will see you then.